Operator: Good day and welcome to the Q4 2017 Zebra Technologies Earnings Release Conference Call. All participants will be in listen-only mode. After today's presentation, there will be an opportunity to ask questions. Please note this event is being recorded. I would now like to turn the conference over to Mike Steele, Vice President of Investor Relations. Please go ahead.
Michael A. Steele - Zebra Technologies Corp.: Good morning and thank you for joining us. Before we begin, I need to inform you that certain statements made on this call include forward-looking statements, which are subject to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These statements reflect the company's current expectations concerning future events and are subject to a number of factors and uncertainties that could cause actual results to differ materially. A detailed discussion of these factors and uncertainties is contained in the company's filings with the Securities and Exchange Commission. During this call, we will make reference to non-GAAP financial measures as we describe business performance. You can find reconciliations of our GAAP to non-GAAP results in today's earnings press release and at the end of this slide presentation. This presentation will include prepared remarks from Anders Gustafsson, our Chief Executive Officer; and Olivier Leonetti, our Chief Financial Officer. Anders will begin by discussing our fourth quarter highlights and full-year 2017 accomplishments. Olivier will then provide more detail on the financials and discuss our first quarter and full-year 2018 outlook. Anders will conclude with progress made on Zebra's strategic priorities. Following the prepared remarks, Joe Heel, our Senior Vice President of Global Sales, will join us as we take your questions. Please note that we recently changed the names of our two operating segments. The legacy Zebra segment has been renamed Asset Intelligence and Tracking or AIT, and the Enterprise segment is now Enterprise Visibility and Mobility or EVM. Also as a reminder, our reported financial results include the divested wireless LAN business through October of 2016. Throughout this presentation, unless otherwise indicated, our references to sales growth are year-over-year on a constant currency basis and exclude wireless LAN sales from 2016 results. This presentation is being simulcast on our website at investors.zebra.com and will be archived there for at least one year. Now, I'll turn the call over to Anders.
Anders Gustafsson - Zebra Technologies Corp.: Thank you, Mike. Good morning, everyone, and thank you for joining us. Broad-based strength and excellent execution drove our fourth-quarter results. As you can see on slide 4, for the quarter we reported record sales of more than $1 billion for the first time in our history. Adjusted net sales growth of nearly 9%, with organic growth of more than 7%, an adjusted EBITDA margin of 19.9%, which was a 90 basis point year-over-year improvement. Non-GAAP diluted EPS of $2.33, a 21% increase from the prior year and $268 million of cash flow from operations. We achieved growth across all regions with particularly strong performance in Latin America, EMEA and North America. We also saw strength across all product lines with mobile computing growing above the company average, amplified by robust year-end demand. We also implemented the final steps of our debt restructuring plan. In summary Q4 was a very positive finish to the year. Overall, 2017 was a year of strong operating performance and progress on our strategy. On slide 5 we highlight four key areas of success. We completed the integration of the Enterprise business, including a global ERP system consolidation. It represented more than two-and-half years of dedication and focus by the entire Zebra team and concludes our transition to One Zebra. In 2017 we continued to extend our market leadership and deliver innovative solutions that have resonated with our partners and customers, providing them increased visibility into their operations so they can achieve higher levels of growth activity and service. Enhancements to our broad portfolio of products and solutions include additions and refreshes to the industry's broadest and most mature offering of enterprise grade Android powered mobile computing devices, expanding our leading portfolio of next-generation 2D data capture devices, being first in the industry to offer a full portfolio of smart connected printers with unrivaled manageability through our Link-OS operating system, and new innovative solutions such as SmartLens for Retail and SmartPack Trailer that further our vision and aspire to transform workflows in key vertical markets we serve. All of these solutions are backed by Zebra's data intelligence platform, Savanna, which was launched in 2017. On the capital structure side, we completed a comprehensive debt restructuring that has reduced our average interest rate by approximately 2 percentage points, generating more than $45 million of annualized interest savings. I'm also proud of our team for successfully driving strong profitable growth and cash flow. For the full year, we grew net sales 6.5%, increasing adjusted EBITDA margin by 110 basis points to 18.6%. This profitable growth, combined with disciplined working capital management generated the cash necessary to pay down $454 million of debt principal, exceeding our 2017 debt reduction goal by more than 50%. With that, I will now turn the call over to Olivier to review our financial results in greater detail and to discuss our 2018 outlook.
Olivier Leonetti - Zebra Technologies Corp.: Thank, you Anders. Let us begin with a walk through the P&L. As you can see on slide 7, sales grew 7.3% in the fourth quarter driven by solid results in each of our reporting segments and growth across all four regions. EVM segment sales increased 8.5% led by mobile computing and our robust Android powered portfolio. AIT segment sales increased 5% with growth in both printing and supplies. Sales of services were slightly higher with continued strength in our Visibility Services Applications, Zebra Retail Solutions, and Location Solutions. Turning to our regions, sales growth in North America was 7% driven by strength in mobile computing and printing products. EMEA sales increased 10%. Mobile computing led our broad-based growth across all major product categories. Sales in Asia-Pacific were up 1%. We grew sales in the quarter throughout most of the region with the exception of China. Our team has been making good progress on our previously mentioned, tailored product offering and go-to-market improvement plan. As a result, we continue to see positive momentum in end user demand and are optimistic that we'll return to growth in China later this year. Latin America sales increased 11% with exceptionally strong sales in mobile computing and data capture products. Consolidated gross profit increased $35 million from the prior period on higher sales volume. Adjusted gross margin decreased 30 basis points, primarily driven by a business mix shift to mobile computing, which included a higher volume of large orders as many customers transition to Android-powered mobile computers. Margin rate was also impacted by higher support services cost associated with the transition to insource our North American repair operations. Adjusted operating expenses increased $12 million from the prior year period, reflecting growth in the business and higher incentive compensation expense due to improved business performance. Fourth quarter 2017 adjusted EBITDA margin was 19.9%, a 90 basis point increase from the prior year period. This was driven by operating expense leverage on higher sales. In addition to EBITDA margin expansion, lower interest cost, and decreased tax drove non-GAAP earnings per diluted share to $2.33, a 21% year-over-year increase. Turning now to the balance sheet and cash flow highlights on slide 8. As a reminder, in December we completed our debt restructuring plan by redeeming the remaining $300 million of our senior notes and establishing the $180 million accounts receivable financing facility. At year-end, we add $2.2 billion of viable rate debt on the balance sheet, of which more than $500 million is hedged with interest rate swaps for 2018. In late 2017, we locked in an incremental $800 million of floating to fixed rate swaps that will become effective in December 2018 for an overall notional swap value of $1.3 billion. For the full year, we paid down $454 million of debt principal on a net basis, helped by strong operating cash flow in Q4. We shipped a significant amount of products in early Q4, resulting in a high level of cash collections within the quarter. Free cash flow was $428 million in 2017, which was $125 million more than the prior year period. This increase was primarily due to higher adjusted EBITDA, lower acquisition integration cost, lower interest payments and lower capital expenditures. We are pleased that free cash flow conversion, defined as free cash flow divided by non-GAAP net income was 113% for 2017, which exceeded our ongoing target of 100%. Slide 9 shows our path to financial de-leveraging. We have made excellent progress on debt reduction over the past three years, paying down $1 billion of debt principal and significantly reducing our net debt to adjusted EBITDA ratio to 3.2 times as of the end of 2017. We are targeting a range of 2 times and 2.5 times, which we believe we can achieve in the second half of 2018. Let us turn to our outlook on slide 10. We had a strong order backlog entering the year and we expect first quarter 2018 net sales growth to be between 7% and 10%, which assumes an approximately 260 basis point favorable impact from foreign currency translation. First quarter 2018 adjusted EBITDA margin is expected to be between 18.5% and 19%, an increase from the prior period due to solid operating expense leverage. The gross margin rate is expected to be approximately flat to slightly lower, primarily driven by an anticipated higher mix of mobile computing sales, including a higher volume of large orders and higher support services cost due to the insourcing transition that I mentioned earlier. Non-GAAP diluted EPS is expected to be in the range of $1.95 to $2.15. For the full year, we expect net sales growth to be between 4% and 7%. This includes an anticipated 2 percentage point favorable impact from foreign currency translation. Full year 2018 adjusted EBITDA margin is expected to be between 19% and 20%, an increase from the prior year period, primarily driven by operating expense leverage. For the full year 2018, we expect to generate at least $475 million of free cash flow. Although we aim to improve our cash conversion cycle, we're assuming that working capital will be a use of cash as we grow the business. Additionally, we expect Q1 to generate the lowest level of quarterly cash flow this year due to seasonality in the business, including the timing of incentive compensation payments. We expect the combination of the recent U.S. tax reform and our tax planning to reduce our non-GAAP tax rate to approximately 16% to 17% for 2018. This is a significant reduction from our 2017 rate of 22%. You can see other full year 2018 modeling assumptions on slide 10. With that, I will turn the call back to Anders to discuss progress on our strategic priorities.
Anders Gustafsson - Zebra Technologies Corp.: Thank you, Olivier. We are pleased with the progress made in 2017 and have good momentum into 2018. As you see on slide 12, we remain focused on our key priorities to build upon our industry leadership and drive shareholder value. First, we are extending our leadership in the core business through our unmatched scale, innovation and relationships with customers and partners. These factors are competitive differentiators in the traditional markets and fostering them is crucial to our ongoing success. Second, we are committing our focus and resources to drive growth in attractive adjacent markets that leverage strength in our core. We continually evaluate the opportunities in near adjacencies where we are underpenetrated as well as in emerging areas. Third, we are advancing our Enterprise Asset Intelligence or EAI vision by leveraging Zebra's deep knowledge of workflows and capitalizing on key technology trends. EAI is integral to our strategic focus at Zebra and makes our solutions unique in the marketplace. I will elaborate more on this in a moment. Our fourth area of focus is to further enhance Zebra's financial strength by increasing cash flow and optimizing our capital structure. Now turning to slide 13. Zebra is capitalizing on key trends: mobility, cloud computing and the proliferation of smart tools. Our devices and intelligent infrastructures sense information about assets, products, and processes. This information, including status and location is then analyzed to provide actionable insights to frontline employees in real-time to reduce friction in workflows, improve productivity, and enable greater insight into business operations. This EAI vision provides a digital view of the entire enterprise. Our strategy focuses on actions and outcomes that can be optimized by knowing and analyzing what's happening on a real-time basis, adding a performance edge to frontline employees. Savanna, our data intelligence platform, is an essential component of our overall offering. Savanna powers the analytics behind our cloud-based data-driven solutions by interconnecting data from sensors, devices, and intelligent infrastructures with workflow applications. Slide 14 highlights the key vertical markets that we serve. Increased demands in the marketplace are driving opportunities for growth at Zebra. Retail shoppers want more convenience and flexibility in how they purchase goods. Transportation companies need to deliver in hours rather than days, patients demand a higher quality of care at a lower cost, and manufacturers are increasing efficiencies across their value chain. Zebra has an intimate understanding of operational workflows in the key industries that we serve. Our expertise enables us to help our customers operate more efficiently and successfully navigate the changes in their business. Last month, at the National Retail Federation Expo, we showcased several solutions that help retailers meet omni-channel demands and strengthen store operations. Target Corporation had a prominent presence at our booth, demonstrating how they have leveraged our TC51 Android mobile computer for multiple applications, to enhance the in-store shopping experience for their guests. By using this solution, both in stores and distribution centers, Target is elevating their team member experience to improve productivity and guest satisfaction. We have also received large orders for the TC51 from a number of other market leaders who are investing in their businesses, making it the fastest ramping product in Zebra's history. Technology has become the basis of competition in retail and is an enabler of key transformational initiatives, from e-commerce to in-store experiences to multichannel fulfillment. Adoption of the most effective technologies is a key attribute of the winners in global retail and our success in this sector demonstrates that we are providing the right solutions. In the transportation and logistics sector, today's consumers expect shorter delivery times in an on-demand world, as the number of shipments is increasing exponentially. Our mobile devices and EAI solutions are enabling warehouses to deliver on the promise of more efficient on-time fulfillment. The manufacturing environment, values solutions that maximize the efficiency of their processes and provide traceability for safety and compliance with regulations like the FDA's Food Safety Modernization Act and the Drug Quality and Security Act. Healthcare facilities need to reduce operating costs and improve the quality of patient care delivery. Our clinical mobility solutions help achieve this objective by streamlining complex workflows, eliminating caregiver to patient operational barriers and reducing preventable medical errors. This is accomplished through automating manual work tasks and activities, unifying disparate patient health information sources and enhancing staff communication, collaboration and clinical integration with real-time location applications and operational intelligence. The adoption rate of healthcare workflow digitization is accelerating throughout the world and Zebra is a leading enabler and solutions provider. Our recently published Hospital Vision Study highlights that by the year 2022, over 95% of all nurses and physicians will be using mobile solutions to administer patient care, an increase of more than 30 points from today. There is clearly an increasing need for Zebra solutions in all the key vertical markets that we serve. In closing, I want to thank the Zebra team for continued discipline and excellence and for a strong finish to the year. We are well-positioned to succeed in 2018. With that, I'll hand the call back to Mike.
Michael A. Steele - Zebra Technologies Corp.: Thanks, Anders. We'll now open the call to Q&A. We ask that you limit yourself to one question and one follow up so that we can get to as many of you as possible.
Operator: Thank you. We will now begin the question-and-answer session. And the first question comes from Jim Ricchiuti from Needham & Company.
Jim Ricchiuti - Needham & Company, LLC: Hi. Good morning. Thank you. First question is just in the EVM market. You clearly had a good – a strong year. And I'm just wondering what you think the overall market growth is? Are we seeing an acceleration? It also appears that you're taking share. I'm just wondering what do you think the underlying growth rate is for that market right now?
Anders Gustafsson - Zebra Technologies Corp.: First, we are driving growth across all our product lines at the moment. And I think that's driven largely by the level of innovation that we have introduced and the breadth of our products and solutions. And I also think that the depth of our understanding of our customers' workflow, so the vertical workflows is a big driver for us. Now, specifically for mobile computing, we had a very strong quarter in Latin America, EMEA and North America. And I'd highlight three points to describe why I believe we have such strength today. I think first the depth and breadth of our portfolio is a true differentiator. We have tiered our portfolio now. So, we have new value tier products with the TC20 and TC25 and we go all the way up to our most premium, most ruggedized devices, the TC70 and the MC9000. A second key advantage would be around all the software innovations we are doing on top of the device. We are now – we've launched the LifeGuard service which is an extended security patching service, where we will provide security patching for the life of the device. So, most of our customers use their devices for much longer than, say, a consumer device and we can then make sure that they are safe for the duration of the use. Other things will be around the manageability of the device. So, our OVS services and generally the usability and how we provide or turn the control of the device back to the Enterprise versus the user with our Mobility DNA services. And the third point will be the Android transition, which I think you alluded to also here. We were the first company to launch Android products for the Enterprise and that certainly benefited us very well. We have well over 50% market share of Android devices for the Enterprise today and the majority of our mobile computing sales are now also Android, and we're seeing strong momentum and that's also to some degree supported by Microsoft, making public their intent of not launching a new Windows 10 operating system for mobile. And we believe there's continued strong demand for Android devices going forward. We think that there are about 12 million legacy Windows devices in the market that would need to be refreshed over the next several years.
Jim Ricchiuti - Needham & Company, LLC: That's helpful. If I look at your full-year guidance, it appears to assume some moderation in the growth rate over the balance of the year. Is that just a function of tougher comparisons in the back half of the year or are you seeing anything in the markets that would account for the deceleration from the growth rate that you're starting the year at?
Olivier Leonetti - Zebra Technologies Corp.: So, let me – before I answer specifically to your question, a bit of an overall theme. We believe that the company has a very strong competitive position and we also believe that we are facing a very solid global macroeconomic environment. Specifically, for you question, we're going to grow 2018 at 4% to 7% on a nominal basis. That's a respectable growth rate. Two reasons for this, reason number one, tougher compare to your point, but also a prudent approach to planning. We have today a relatively strong visibility for the first half of the year. You can see that in the strong guide for Q1, but our visibility is less strong in the second half. However, we are confident about the growth profile of the company. We have said in our opening remarks that we have many avenues to grow the company, either through core or adjacent markets. And we are prepared to be nimble to face higher demand as this higher demand was to come.
Jim Ricchiuti - Needham & Company, LLC: Okay. Thank you. Congratulations on the year by the way.
Anders Gustafsson - Zebra Technologies Corp.: Thank you.
Olivier Leonetti - Zebra Technologies Corp.: Thank you, Jim.
Operator: Thank you. And the next question comes from Jason Rodgers of Great Lakes Review.
Jason A. Rodgers - Great Lakes Review: Yes. I just wanted to ask about the mobile space. Wondering if you're seeing now an acceleration of these large deals given the Microsoft change? And I wondered also if you could talk about your progress in penetrating smaller customers in the EVM segment?
Anders Gustafsson - Zebra Technologies Corp.: Yeah. So, in 2017, we saw a lot of larger enterprises make the transition to our Android All-touch devices. So, it was a high proportion of large deals, particularly in retail for us in 2017. We expect that there will continue to be a good number of large deals, but there is also a finite amount of very large customers. So, we put a lot of effort into driving Android into the channel, and we've seen good progress in that. Our distribution partners are seeing very strong growth for Android in their businesses, too. And we're doing a lot of things to help educate the market and create – help create the end market demand for that. I'll also let Joe Heel here provide some more details.
Joachim Heel - Zebra Technologies Corp.: Yes. If you look at this Android migration that has been going on and has been quite strong. We've seen adoption by many retailers with these large deals that certainly put a big mark on 2017. But we also know that there's still a substantial amount of transition that needs to occur. Anders mentioned the number of about 12 million mobile computers which we think are still out there. And we see that a lot of those customers are in segments like warehousing and manufacturing where there are certain structural reasons why the adoption process takes a little bit longer. And many of those customers are also reached by our channel partners. And so, we see that there's a lot of potential for our channel partners this year and in the following years to penetrate those segments, manufacturing and warehouse in particular and drive continued growth from Android conversion for us.
Jason A. Rodgers - Great Lakes Review: And also, I wonder if you could talk about performance by vertical in the quarter and if you're seeing any acceleration in raw material cost? Thank you.
Anders Gustafsson - Zebra Technologies Corp.: Yes. So, on the verticals, I'd say, first, we have become now much more of an enabler of our customers' top priorities and business strategies. So, we're much more closer to them and much more of a partner to our customers today. And we are driving growth across all our verticals by increasing workflow efficiencies or how we call it, reducing friction in workflows. We're also providing real-time guidance to frontline employees to ensure that they can take better – make better decisions, be more effective in their jobs. And we are helping our customers enhance their customer or in healthcare situation, their patients' experience. So we're doing a lot of things across our verticals to position ourselves to help address their biggest business drivers. If I go through the verticals here, I'd say, first, starting with retail and e-commerce. That's been a strong vertical for us for a long time and we saw very solid growth in 2017 and a very strong finish to the year, too. I think in the last earnings call, we talked a bit about our Retail Vision Study. And I think the growth we are seeing is validating the outcome, so the conclusions we had in that study. Most people are fully aware that retail is now transforming, but it's also growing. And we are both capitalizing and helping our retail customers pursue the shift from traditional, say, brick-and-mortar retail to e-commerce and omni-channel. And as I – virtually all our brick-and-mortar retailers are embracing our technologies to help them execute their growth strategies. And our solutions and the Android transitions are central to many of those growth strategies, but we're also seeing some newer solutions like RFID, SmartLens, our Personal Shoppers, which are essential to omni-channel and frictionless checkout to gain momentum continue to do very well for us. Moving on to healthcare, that's been the fastest growing vertical for us for some time and we would expect that to continue. That's really being driven or the catalyst for that has been the introduction of electronic health records. But when you couple that with the value propositions we have in healthcare which is, to both improve the patient care, as well as drive greater efficiencies, we're able to build quite a strong momentum for our solutions and we've seen a great ramp for some of our newer solutions that we introduced in 2017, like the healthcare versions of both the TC51 mobile computer and our DS8100 scanner. And we – also on the EAI side we're making progress. We had a nice win recently for an RFID asset tracking solution at a large Northeastern healthcare provider. And lastly, I'll touch on the transportation logistics also. There we've seen solid growth and it's really supported by strong secular growth trends driven by the shift to ecommerce. So, both the delivery and the number of packages going through the systems are much greater. Our newer products like the TC75x and TC56 have had great impact. And it's certainly driven our – helped drive our growth in that segment but we're also seeing some of our newer solutions like SmartPack and trailer load analytics or trailer load compliance demonstrate our leadership, our thought leadership in the industry. And we have a number of growing pilots and proof of concepts with many leading customers in that area.
Olivier Leonetti - Zebra Technologies Corp.: And let me answer to your second question on raw materials. Your question was do we see an increase? We see an increase today on some categories, on some categories only. And we have been working also for a few quarters now on COGS improvement plan and we believe that those actions will materialize in the P&L in the second half of this year and we should see a margin uptick because of those.
Anders Gustafsson - Zebra Technologies Corp.: Yeah. We have had a strong culture of working on gross margin improvement plans. We had our value – design to value programs that we ran hard a couple of years ago. And now, we see some, memories particularly, see some increases there, but we are looking to then transition to new platforms on many of our products. By late this year that we start, introduce different type of memory technologies that would be lower priced. But we've always had the ability to drive sufficient overall cost reductions to offset any material increases or price erosion to make sure that we can maintain stable to improving gross margins and that's clearly our intent.
Jason A. Rodgers - Great Lakes Review: That's a great summary. Thank you.
Olivier Leonetti - Zebra Technologies Corp.: Thank you.
Operator: Thank you. And the next question comes from Saliq Khan with Imperial Capital.
Saliq Jamil Khan - Imperial Capital LLC: Hi. Good morning, everyone.
Anders Gustafsson - Zebra Technologies Corp.: Good morning.
Michael A. Steele - Zebra Technologies Corp.: Good morning.
Saliq Jamil Khan - Imperial Capital LLC: Just a few questions, certainly a very good quarter for you. Can you give us a little bit of highlight on what it is that you had heard at the recent NRF Conference that is giving you confidence that the retailers now are willing to go ahead and open up their wallets and invest in some of the retail technologies that you spoke about and have been looking at for the last couple of years?
Anders Gustafsson - Zebra Technologies Corp.: Yeah. I'd go back to some of the comments I made earlier. First, the NRF was – we thought NRF was a great show for us. We had more traffic in our booth. We had more executive meetings. We had more closed door meetings there where we showed some newer things, that weren't quite on the floor. So, we had lots of good feedback from the show and felt that was a good start to the year for us. The themes that we've seen over the last year I think is continuing. We have gone from having been maybe viewed as more of a tactical productivity tool historically, to now being a much more strategic enabler of our retail customers' business plans. So, they are much more interested in figuring out how to work with us and how to incorporate our technologies to execute on their omni-channel or ecommerce strategies. So, when you look at then also our newer solutions ranging from mobile printers to scanners and mobile computers, as well as the more futuristic, say SmartX-type solutions. We feel we're well positioned to be able to address a number of those growing needs that our customers have. So, we feel good about what's going on in retail for us. Joe, maybe some more comments from you?
Joachim Heel - Zebra Technologies Corp.: Yeah. I'll add maybe a few things specifically that we observed. I think for us a big highlight was that one of our customers, Target, was present very visibly in our booth. That, I think was – is not very common at the shows and was for us a great honor, but also a great opportunity to showcase one of the key trends that you observed at the show which was a trend toward mobile point of sale. Our TC56, coupled with mobile payment solutions, was the heart of what we showed there. Another highlight undoubtedly was Personal Shopping. A trend which started in Europe but we're seeing increasingly opportunities in other regions as well, where an Enterprise-based device is in the hands of a customer and they are scanning as they go through a store. We did see strong interest – continued strong interest in automated solutions such as SmartLens, right, where we give continuous real-time visibility to all of the inventory in a store or department of the store and are able to greatly automate and improve productivity in the store. So, those are three examples of highlights from the show, perhaps.
Saliq Jamil Khan - Imperial Capital LLC: If I think about the strong growth that you've spoken about earlier and then again highlighted during NRF, the RFID, the analytics, all these things that were not happening before, we're finally to a point that it is happening. So, if you think about from a priority perspective, retailers have been inundated with all these technologies from a backlog perspective that they wanted to do. And then you take a look at cyber security and some of the other solutions that are out there. Where do you believe the Zebra technology ranks in that purchasing priority for the retailers?
Anders Gustafsson - Zebra Technologies Corp.: It's a little hard to tell you kind of how exactly how we rank because it does depend on the retailer and say there are certainly competing priorities. So, we're not the only priority. Now if somebody needs to have a – in order to have an ecommerce or omni-channel strategy, they got to have a website that can take orders. That will be a high priority, too. But clearly, we are much more – a much higher priority and viewed as an essential part to this. So, we feel good about how we are positioned with our solutions to be able to address many of the bigger pain points or priorities that our retail customers have.
Joachim Heel - Zebra Technologies Corp.: I might add, I can only echo that, right. If you think about the challenges that the retail customers are reflecting to us in our conversations with them, they would say, on the one hand, they need to compete in an omni-channel environment and they want to make their store more productive and a better experience. And we enabled both of those priorities for the retailers. And as such, I think we rank relatively highly in their desire to make those priorities a reality.
Saliq Jamil Khan - Imperial Capital LLC: Just last one last question on my end. Everyone has been talking about IoT and OT. Could you kind of highlight briefly what Zebra is doing to be able to converge the IT with the OT to bring about better efficiency?
Anders Gustafsson - Zebra Technologies Corp.: Yes. So, we kind of branded our IoT strategy, Enterprise Asset Intelligence, and we talked quite a bit about that in our prepared remarks. But, first, we're very excited about what we're doing within Enterprise Asset Intelligence and it's been resonating very well with our customers, our employees, our partners and it is very integral to everything we do across all our product lines. But the essence of it is this framework we have of sense, analyze, and act. So, we look at how do we enable our customers to sense what's happening in the physical world, in the real world, and then analyze that information and draw actionable insights in real time that help our customers reduce friction in workflows as an example. Some examples of how that's embedded in all our products will be, Link-OS as an example, for printing. We make our printers the most – best connected and networked, best managed devices in the industry. We have OVS that provides visibility into mobile printing or mobile computer fleets. And then, we have more like Smart infrastructure, like SmartLens, SmartPack and others, which provides lots of insights about what's going on in a store or in a warehouse. And we see good progress across all of these areas with the number of pilots and some rollouts. So, yeah, we're very excited about what's going on with EAI, and maybe Joe can help some – give some more specifics.
Joachim Heel - Zebra Technologies Corp.: 2017 I think for us in the area of IoT or as we term it EAI, was a year in which we had some really tangible progress. We introduced two of the dedicated EAI solutions, the SmartLens solution that I mentioned earlier for retail and then the SmartPack solution for logistics and T&L at trade shows in the first half of the year. And as a result of that, we have launched and have underway a series of pilots with large customers, where they are evaluating not only the technology, but the business cases that those technologies enable for them. And in the second half, we launched, as you will recall from our last conference call here, the Savanna platform, which is really a force multiplier for our IoT strategy, in that it gives our partners access to all the data coming off our devices, sensors and infrastructures, so that their applications can enable additional use cases for those customers. So, we're very pleased with the tangible progress that we've been able to make in this area of our strategy.
Saliq Jamil Khan - Imperial Capital LLC: Great. Thank you, both.
Operator: Thank you. And the next question comes from Brian Drab with William Blair.
Brian P. Drab - William Blair & Co. LLC: Hi. Good morning. Congrats on the great year and quarter.
Anders Gustafsson - Zebra Technologies Corp.: Thank you.
Brian P. Drab - William Blair & Co. LLC: Just a couple questions. So, I'm wondering if you could talk a little bit more first on what's happening in China. Is that still primarily a channel issue? And just a little more depth in terms of what corrective actions you're taking to drive growth there?
Anders Gustafsson - Zebra Technologies Corp.: Yes. So globally, we had a very strong quarter with crossing the $1 billion mark first time in our history. Specific to Asia-Pacific, I'd say, Asia-Pac had a very strong performance outside of China. So, most of our sub regions within Asia-Pac had very good growth, led by Australia, which had an outstanding performance. You should remember though, China is less than half of our Asia-Pac sales and Asia-Pac is about 15% of our total. So, China was still down year-over-year but we are gaining good momentum and we are seeing good proof points that our – the improvement plans we put in are having effect and we are fully expecting to see growth resume later this year in China. We've seen great progress on our go-to-market improvement plan as well as the new tailored product offerings that we've introduced. So, we introduced several value tier products designed to be able to compete better in China and other emerging markets. And longer term, we certainly expect Asia-Pacific including China to be a strong profitable growth driver for us.
Brian P. Drab - William Blair & Co. LLC: Great thank you. And then I was wondering if you could give us your perspective on the competitive landscape if there are any. How do you perceive what appears to be a rather aggressive new product introduction year for Honeywell and Android and are you seeing them more bidding for big projects or has that competitive landscape kind of changed or is it changing?
Anders Gustafsson - Zebra Technologies Corp.: I'd say first that we are operating in some very attractive growth markets with strong secular trends supporting that growth and we are continuing to drive profitable share gains like we have for quite a few years now and are starting to feel like we have a bit of track record in being able to do that. I do believe that we have some strong competitive advantages that's making our position very defensible. We have the broadest portfolio of products and as I said there's the virtual cycle between that and our partners, that the broader our portfolio is, the more partners we can attract. And the more partners we have the more revenue we get, which enables us to reinvest in products and expand the portfolio and recruit more partners. So that's I think, a moat that's very difficult for competitors to replicate. It certainly will take a lot of time and money. And if you have one or two products, it will be difficult to compete against the full portfolio that we have. But we also introduced a lot of new innovation into our portfolio and got a lot of momentum and strong market share positions now which are all helping us I think. And I'd say, we have a – one of the differentiators is our team. We clearly have the best team in the industry and we've been executing very well on a number of complex tasks. I'll say we're quite pleased with how we completed the complex integration of the Enterprise business, while also growing market share at the same time. So – and I think also EAI is something that resonates with our customers and provides some thought leadership. And all that being said, we've always competed in competitive environments. We used to have to compete for our daily bread and I don't expect it to be anything different going forward.
Brian P. Drab - William Blair & Co. LLC: Got it. Thanks, Anders.
Operator: Thank you. And the next question comes from Paul Coster with JPMorgan.
Paul Coster - JPMorgan: Yeah. Thanks for taking the question. It looks like the second half of this year will be down to the target leverage ratio at which point as we look into 2019, approximately $0.5 billion of free cash flow comes available. Can you talk a little bit about what the capital allocation strategy is likely to be? Are we going to see a return to old school Zebra, where you do lots of share buybacks?
Olivier Leonetti - Zebra Technologies Corp.: So, your calculations are correct and as we reach the end of this year, we'll look at, again, what we do with this cash. We believe that below a leverage ratio of 2 times, accumulation of cash in the balance sheet would not be appropriate return for our shareholders. So, we look at all options when we come to this. One of them could be share buyback, but that could be one.
Paul Coster - JPMorgan: Okay. Got it. And then, Anders, can you talk a little bit about the product cadence and investment strategy in R&D? It sounds like proportionately more is going into software development. But I'm just wondering is there any chance that you'll start to explore some adjacencies with new product categories in 2018, 2019?
Anders Gustafsson - Zebra Technologies Corp.: Yeah. We are – as a technology company, we are dependent on having a fresh and vibrant portfolio to – that can deliver true value to our customers. So, we certainly want to continue to drive innovation across the portfolio. And I think we've done a nice job of that over the last couple of years. The – we have talked about some of the adjacencies. I would highlight things like support – sorry, services and supplies as two key ones. We think there is great opportunities for us to expand there. We can leverage the strength we have in our core business to build a stronger presence there. And those markets are quite fragmented, so we feel that's a good position for us – or good markets for us to enter or expand in I should say, we're already in them.
Joachim Heel - Zebra Technologies Corp.: But perhaps one other thought, as you think about adjacencies, don't just think about product terms, like software or services or hardware, but also think about solutions, the solutions that we've been talking about like SmartLens and SmartPack are a combination of hardware, software and services, and we're definitely investing in building those kinds of capabilities on top of the data platform, Savanna that we introduced. We think those will drive positive business cases for our customers in across our verticals and will enable us to grow the breadth of the portfolio that we really have.
Paul Coster - JPMorgan: Okay. Makes sense. Thank you very much.
Operator: Thank you. And the next question comes from Richard Eastman with Baird.
Richard Eastman - Robert W. Baird & Co., Inc.: Yes. Good morning. Just, Anders, could you maybe speak to, as we've kind of pivoted towards growth with the debt reduction here and our leverage ratio coming down, we kind of pivot towards growth. Should we expect that maybe this software and services category to start to reflect some of these initiatives on the R&D side, some of the solutions approach. But should we start to expect with this kind of growth focus that the software and solutions category, roughly $500 million of revs would start to accelerate as a reflection of those investments?
Anders Gustafsson - Zebra Technologies Corp.: Yeah. So, first, I'd say when we – we've been making significant investment in software. But software is something that is permeating our entire portfolio. So, today, well over half of our engineers are software engineers, but many of our – we often monetize that software as part of a device. So, it's not always broken out as software, right?
Richard Eastman - Robert W. Baird & Co., Inc.: Yeah.
Anders Gustafsson - Zebra Technologies Corp.: But we do expect our services business to start showing more attractive growth as we move through 2018 here. And that's both going to be driven by say the traditional services business, but also from some of these new types of solutions. But you've got to remember just it's a modest base today. But we expect faster growth and the sales cycle is a bit longer but we certainly feel that we are well positioned to continue to drive growth for our software and services from these new attractive solutions.
Richard Eastman - Robert W. Baird & Co., Inc.: Is some of that going to be dependent on being pulled through some of the service offerings being pulled through the channel?
Anders Gustafsson - Zebra Technologies Corp.: Our – the sequencing of this is that new types of solutions and these tend also to be a bit more complicated. We, as the manufacturer or the OEM, generally have to prove it in the market, get some reference accounts. And once we have that, we can recruit partners to start selling that and ramping around that. I think we have good examples of that in some of our more complex solutions where we've started to bring in partners very purposefully. The Savanna accelerated program that we talked about last time is a great example of that. And we have, in Q2 we will start having our Channel Partner Summits around the world. And at that point, we will have a lot of discussions around how we can enable our partners to participate in that growth.
Richard Eastman - Robert W. Baird & Co., Inc.: Okay. And then just a quick question for Olivier. When you speak to 2018 and your EBITDA expectation of 19% to 20%, can I ask you what currency assumption accretion goes into that 19% to 20%? Is it a point or?
Olivier Leonetti - Zebra Technologies Corp.: So, we haven't been specific about this. Just a bit of color about FX, so, it's obviously a favorable trend now. But I would like to say that we have one-fourth of our business which is exposed to FX trends, it's the euro. And we have a hedging program which hedge our exposure 50% 12-month out and 80% as we enter into a particular quarter. So, we don't have the full impact of FX when the FX is for or against us. And going back at EBITDA, we have – it's obviously an important metric for us, EBITDA rate. As I alluded to earlier, we have various levers to achieve this rate. But ultimately our goal is to drive EBITDA and EPS dollars. And we feel optimistic about how we are positioned today as a company to achieve an attractive return there.
Richard Eastman - Robert W. Baird & Co., Inc.: Okay. And maybe just the other thought I just had is with the ETR that you're kind of forecasting for the first quarter, I presume, that that's a pretty good estimate for the full year. Do you have a sense of – in your free cash flow guidance, do you have a sense of how much that lower ETR would contribute to your free cash flow? I mean, my math says maybe $40 million or $45 million might be in that $475 million estimate?
Olivier Leonetti - Zebra Technologies Corp.: Right. Let me answer differently to your question. So the $475 million of free cash flow and our free cash flow conversion which we want to be at 100% of non-GAAP net income, that is contemplating the impact of the new tax rate for the company.
Richard Eastman - Robert W. Baird & Co., Inc.: Okay. All right. That's helpful. I can derive it. Okay. Thank you.
Olivier Leonetti - Zebra Technologies Corp.: Thank you.
Operator: Thank you. And the next question comes from Keith Housum with Northcoast Research.
Keith Housum - Northcoast Research Partners LLC: Good morning, gentlemen, and congratulations on a good quarter. If I can follow up on his question there, if I look at the FX tailwind you guys have now and the headwinds you had just three years ago and the impact it had on adjusted EBITDA, would you guys allow the adjusted EBITDA margins to go above your 18% to 20% range just purely because of the benefit from the FX tailwinds?
Olivier Leonetti - Zebra Technologies Corp.: The answer is yes. We're not going to stop obviously at the range, and as I said, Keith, we have many levers to achieve these goals. But clearly FX is going to be a favorable trend for the company, not only on the top line but also profitability and we're driving our teams excluding impact of FX. That's why we were able to navigate through an unfavorable FX environment in the past and that's why we want to maximize the impact of FX going forward. We track our performance excluding this, Keith.
Anders Gustafsson - Zebra Technologies Corp.: Yeah, I don't think you need to think of the 20% as some form of barrier that we will purposefully not try to break through. We would like to break through that and stay above that too for that matter.
Keith Housum - Northcoast Research Partners LLC: Great. Thank you. And then if I could follow up on the questions before regarding China. Understanding some of the challenges you have there. Are the challenges in the different verticals that you guys have between the mobile computers, the printers, and data scanners or is it more centralized in one product category or another?
Anders Gustafsson - Zebra Technologies Corp.: I'll start and I'll let Joe also respond to this one, but it included all the main product lines but I'll say printing has made more progress getting on it. We had year-over-year growth in printing in Q4. We saw a great uptick in acceptance of our new industrial printers, the tabletop printers that we launched in the second half of last year for – in China. They are going to all the big contract manufacturers, but the – we saw a good sequential revenue uptick for our mobile computers and scanners also. So, we feel that it is progressing very nicely and we have expanded our partners into – and expanded geographically into new areas in China. So, there's a number of things that we're doing to position us for better growth, but also making sure we have a portfolio of products that are suitable for China.
Keith Housum - Northcoast Research Partners LLC: Great. And if I could squeeze one more in here. The benefit from tax reform, are you guys reinvesting that back into the business at all? Or is most of that going to fall just to the bottom line?
Olivier Leonetti - Zebra Technologies Corp.: So, we are going to do both. First of all, we want to invest in the business, in R&D, in sales and also in our talent. But also, we want our shareholders to benefit from the reform. And let me give you a bit of pointers, our tax rate non-GAAP was 22%. The tax reform will allow us to go to a rate of about 18% and then the 18% to 16% is due to a tax restructuring plan we have in place. This plan is now going to allow us to fully optimize the tax structure of the company and the tax reform has been a really a vector of acceleration of the implementation of this plan. But the very attractive tax rate is due to two factors. James – yeah.
Keith Housum - Northcoast Research Partners LLC: Great. Thank you.
Operator: Thank you. And the last question today comes from James Faucette with Morgan Stanley.
James E. Faucette - Morgan Stanley & Co. LLC: Thank you very much. You've answered most of my questions but I had a couple of follow ups. I guess my first is when you look at FX and the changes there, I appreciate you're hedging at least part of that. But is that having any impact on customer behavior? Is it helping them close projects and deals faster or upsize those, et cetera? And then my second question is you kind of highlighted some of the strengths of the different verticals that you're in and they all seem to be doing quite well. But I'm wondering if we should expect a meaningful change in the relative contributions of those verticals over the next several years? Are you seeing any one of them grow meaningfully faster or start to grow meaningfully faster with better prospects than another, et cetera? Thank you.
Olivier Leonetti - Zebra Technologies Corp.: So first, I think you asked if tax reform is a driver for demand.
Anders Gustafsson - Zebra Technologies Corp.: FX.
Michael A. Steele - Zebra Technologies Corp.: FX.
James E. Faucette - Morgan Stanley & Co. LLC: No, sorry. FX.
Olivier Leonetti - Zebra Technologies Corp.: FX, yeah. So, FX is really has effect for Europe where we sell in euros and the difference in – when the euro go up or down a percent say, we don't necessarily adjust pricing. So it does not have a big impact on demand. We try to make sure that we mask that as much as we can. Obviously, when we see a very substantial longer term change in FX, we will adjust our price list, like we did back in 2015, I think it was. So, but I wouldn't think of FX as a growth driver. It's probably more an improvement of our margins, if anything. And the second part of your question was I think about the relative growth of the various verticals that we have. I'm not sure I want to be overly specific about how – what growth rate we expect from each vertical by year but we do see great growth potential for each of our vertical markets. There are strong secular trends that support growth in all of them. Go back to retail and ecommerce the whole shift towards e-commerce and omni-channel is a big transformation for the retail industry and to execute on that you need to deploy more technology. Either in the hands of your sales associates or in more smarter infrastructures like a SmartLens product. Healthcare, with the debate in the U.S. around how to get healthcare costs to be lower. What can be better than improving the quality of care because there was also talk about pay for outcomes? But also, we do drive a lot of efficiencies there and it's a market that we talked about from our healthcare study here, that's substantially underpenetrated we believe and should see much greater adoption of technology, particularly in the hands of caregivers. And transportation logistics, again ecommerce is a big driver for them. The volume of packages is increasing exponentially. The number of deliveries they're having to do is increasing very substantially. So, how can we help them drive more efficiencies, improve their service level agreements and so forth? I think that's a strong driver for us. And in manufacturing, there's a strong push across manufacturing to improve the value of tiers or across their processes and we see good opportunities for us to participate there. And also, as Joe mentioned earlier, this is the vertical that it has progressed the least, when it comes to Android conversion.
Joachim Heel - Zebra Technologies Corp.: Yeah. Yeah. I was going to emphasize that. I think we have a lot of potential ahead of us in sectors where warehousing is prevalent. So, transportation, logistics and manufacturing are ones where there's an Android-driven growth that we do expect. And one other addition on your – it's more of a secondary effect on your FX question. We obviously sell in a number of countries in U.S. dollars, that don't have the U.S. dollar as their currency. The weakness of the U.S. dollar has helped us in some of those countries, Mexico would be a good example, right, where that does help us.
James E. Faucette - Morgan Stanley & Co. LLC: Great. Thank you.
Operator: Thank you. And as that was the last question. The conference has now concluded and this concludes our question-and-answer session. I would now like to turn the call back over to Mr. Gustafsson for any closing remarks.
Anders Gustafsson - Zebra Technologies Corp.: So in 2017, we extended our lead in the markets we serve and exceeded our financial targets. So, we are very encouraged about our momentum into 2018 and are well-positioned for success. I appreciate all the hard work and dedication of our employees and the support of our partners and customers. And with that, have a great day, everyone.
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.